Operator: Ladies and gentlemen, thank you for standing by and welcome to NetScout’s First Quarter Fiscal Year 2025 Financial Results Conference Call. At this time, all parties are in a listen-only mode until the question-and-answer portion of the call. As a reminder, this call is being recorded. Tony Piazza, Deputy CFO, and his colleagues at NetScout are on the line with us today. [Operator Instructions] I would now like to turn the call over to Tony Piazza to begin the company’s prepared remarks.
Tony Piazza: Thank you, operator, and good morning, everyone. Again, apologies for the delay. The operator has a technical difficulty. Welcome to NetScout’s first quarter fiscal year 2025 conference call for the period ended June 30, 2024. Joining me today are, Anil Singhal, NetScout’s President and Chief Executive Officer; Michael Szabados, NetScout’s Chief Operating Officer; and Jean Bua, NetScout’s Executive Vice President and Chief Financial Officer. There is a slide presentation that accompanies our prepared remarks. You can advance the slides in the webcast viewer to follow our commentary. Both the slides and the prepared remarks can be accessed in multiple areas within the Investor Relations section of our website at www.netscout.com, including the IR landing page under financial results, the webcast itself, and under financial information on the quarterly results page. Moving on to Slide number 3, today’s conference call will include forward-looking statements. Examples of forward-looking statements include statements regarding our future financial performance or position, results of operations, business strategy, plans and objectives of management for future operations, and other statements that are not historical fact. Actual results could differ materially from any forward-looking statements. These statements speak only as of today’s date and involve risks and uncertainties, including but not limited to those described on this slide and in today’s financial results press release, which are available on the Investor Relations section of our website, as well as in the Company’s most recent Annual Report on Form 10-K and subsequent SEC filings, on file with the Securities and Exchange Commission. NetScout assumes no obligation to update any forward-looking information except as required by law. Let’s now turn to Slide number 4, which involves non-GAAP metrics. While this slide presentation includes both GAAP and non-GAAP results, unless otherwise stated, financial information discussed on today’s conference call will be on a non-GAAP basis only. The rationale for providing non-GAAP measures along with the limitations of relying solely on those measures is detailed on this slide and in today’s press release. These measures should not be considered in isolation from or as a substitute for financial information prepared in accordance with GAAP. Reconciliations of all non-GAAP metrics with the applicable GAAP measures are provided in the appendix of the slide presentation, in today’s earnings press release, and on our website. I will now turn the call over to Anil for his prepared remarks. Anil?
Anil Singhal: Thank you, Tony, and good morning, everyone. Welcome and thank you all for joining us today. We delivered first quarter fiscal year 2025 revenue at the higher end of our expectations while EPS exceeded our expectations. We remain focused on prudently operating the business while continuing to position NetScout to win in the market. We remain confident that our differentiated solutions are aligned with key technology trends and well-positioned to address our customer’s cybersecurity and service assurance needs. Let’s turn to Slide number 6 for a brief recap of our non-GAAP financial results for the first quarter of our fiscal year 2025. Revenue was approximately $175 million, at the higher end of our expectations. This represents a 17% year-over-year decline due to approximately $37 million of backlog related revenue in the prior year’s quarter. Excluding this factor, our revenue would have been relatively consistent year-over-year. In regard to the bottom line, our diluted earnings per share was $0.28 for the first quarter, exceeding our expectations as we benefited from continued cost management initiatives and an unrealized gain on a foreign investment. EPS was down approximately 10% year-over-year as lower revenue offset these benefits. Now, let’s move to Slide number 7 for some further perspective on business and market insights. Starting with our Service Assurance offering, revenue was down approximately 20% year-over-year. The decline was expected due to the higher level of backlog-related revenue recorded in the prior year’s period. In the Service Assurance space, customers continue to operate with increased scrutiny on their spending agenda. Importantly though, carriers domestically and internationally are investing in their 5G initiative, just at a more measured pace as they manage investments against monetization opportunities. On the enterprise front, we also see tight spending, but remain confident that NetScout is well-positioned to win business and leverage our value proposition of extending visibility to the edges of the network as customers advance their digital transformations. Moving to our Cybersecurity offering, revenue in the first quarter was down approximately 11% year-over-year as the previously mentioned prior year’s backlog-related usage caused a challenging comparison. Cybersecurity continues to represent a strong growth opportunity for NetScout as customers prioritize spending to protect themselves from the expanding cyber threat landscape. Michael will provide more insight regarding customer wins in our offering areas during his remarks. Now, let’s move to Slide number 8 to review our outlook. Looking ahead, our priorities remain to enhance our Cybersecurity offerings to meet customer needs given the expanding cyber threat landscape. At the same time, we are focused on continuing to manage costs. During the first quarter, we advanced our voluntary separation program. As such, we expect to benefit from approximately $25 million to $27 million of annualized cost reduction, a portion of which will be recognized during fiscal year 2025. Based on our first quarter performance and solid pipeline, we are reiterating our fiscal year 2025 revenue and non-GAAP EPS outlooks. Jean will provide a recap of the outlook in her remarks. Longer-term, we are committed to leveraging our Visibility Without Borders platform to help customers address the performance, availability, and security challenges of the complex digital world. We look forward to sharing our progress with everyone throughout the remainder of our fiscal year. With that, I’ll turn the call over to Michael.
Michael Szabados: Thank you, Anil, and good morning, everyone. Slide 10 outlines the areas I will be covering today, starting with Q1 customer win highlights. In our Service Assurance offering, in the service provider customer vertical, we continue to see deals in support of 5G deployments, upgrades, and capacity expansions both domestically and internationally. One example of a key win during the quarter was the extension of a multi-year enterprise license agreement or ELA with a Tier-1 North American carrier which includes 5G-related solutions. This deal has an annual value in the low eight figures and could amount to a mid-eight figure sum over the full deal term. We also recently announced an extension of a multi-year deal with a European carrier that had been completed in the prior quarter. These deals both had competitive interest, but we secured them due to our strong historical performance, differentiated technology, and established relationships. Shifting to our Cybersecurity offering, companies are continuing to prioritize investments in cybersecurity capabilities that protect them against the expanding cybersecurity threat landscape. This continues to translate into wins for NetScout. For example, during the first quarter, we won a low-seven figure deal with the Fintech division of an existing European financial services customer who was upgrading their DDoS capacity and threat protection capabilities. This customer purchased an upgraded Arbor Edge Defense solution which provides them with our newer Adaptive DDoS capabilities that address the changing DDoS landscape and new attack vector dynamics. They also purchased Arbor Cloud to expand their capacity beyond their on-prem solution to accommodate an increasingly complex threat environment. Turning to our go-to-market activities, we remain focused on promoting our industry leadership, trusted brand, next-generation solutions, and platform. This included hosting a joint Immersion Day with Palo Alto Networks and AWS, for financial services customers and prospects. This session featured a hands-on lab, demonstrating the NetScout integration with Palo Alto Networks in the AWS cloud to enhance the security posture of financial services institutions. The event garnered significant interest as evidenced by the high registration and turnout. Additionally, we participated in the Cisco Live and Splunk .conf24 tradeshow events during the quarter and hosted a well-attended user event called NETSCOUT Connects in London in May. At this event, we conducted keynote presentations, breakout sessions, product updates, and demonstrations for our European customers, prospects, and partners. Looking ahead, NetScout plans to host its customers and partners at our Annual Engage Technology and User Summit in early October in Arlington, Texas. At Engage 2024, we will be highlighting our new Omnis solutions and how our highly curated dataset can solve security, observability, and service assurance problems faster when integrated with AIOps platforms from industry leaders, such as Splunk, ServiceNow, and AWS. We will also preview new AI and Machine Learning enabled capabilities to automate and simplify our core performance management solutions in our IT operations market area. Thank you, everyone. That concludes my remarks, and I will now turn the call over to Jean.
Jean Bua: Thank you, Michael, and good morning, everyone. I will review key metrics for our first quarter of fiscal year 2025 and provide some additional commentary on our fiscal year 2025 outlook. As a reminder, this review focuses on our non-GAAP results unless otherwise stated, and all reconciliations with our GAAP results appear in the presentation appendix. Regardless, I will note the nature of any such comparisons. Additionally, all comparisons are on a year-over-year basis unless otherwise noted. Slide number 12 details the results for the first quarter of fiscal year 2025. Total revenue was $174.6 million, down 17.3%. This was primarily attributable to approximately $37 million of backlog-related revenue that benefited product revenue in the prior year. Product revenue was $61.2 million, a decrease of 35.4%, while service revenue was $113.4 million, a decrease of 2.6%. Gross profit margin was 77.1% in the first quarter, down 1.2 percentage points year-over-year. Quarterly operating expenses decreased 11.2%, primarily due to cost containment efforts. Accordingly, we reported an operating profit margin of 8%, compared with 14% in the same quarter last year. Diluted earnings per share was $0.28, which included an unrealized gain on a foreign investment of approximately $0.10. This was down 9.7% from $0.31 in the same quarter last year as the impact of lower revenue was partially offset by cost management initiatives and the unrealized foreign investment income. Turning to Slide 13, I will review key revenue trends by product lines and customer verticals. Please note that all comparisons here are on a year-over-year basis, consistent with our other remarks. For the first quarter of fiscal year 2025, our Service Assurance revenue decreased by 20.1%, while our Cybersecurity revenues decreased by 11.1%. During the same period, our Service Assurance product line accounted for approximately 67% of our total revenue, while our Cybersecurity product line accounted for the remaining 33%. Turning to our customer verticals. For the first quarter of fiscal year 2025, our enterprise customer vertical revenue decreased by 15.1% while our service provider customer vertical revenue decreased 19.8%. During the same period, our enterprise customer vertical accounted for approximately 54% of our total revenue, while our service provider customer vertical accounted for the remaining 46%. Turning to Slide 14, this shows our geographic revenue mix. For the first quarter of fiscal year 2025, 57% of our revenue was derived from the United States, with the remaining 43% provided by international markets. Also, no customer represented 10% or more of our total revenue in the first quarter of fiscal year 2025. Slide 15 details certain balance sheet and free cash flow items. We ended the first quarter with $407.2 million in cash, cash equivalents, short and long-term marketable securities, and investments, representing a decrease of $16.9 million since the end of the fourth quarter of fiscal year 2024. Free cash flow for the quarter was $37.2 million. During the first quarter of fiscal year 2025, we repurchased approximately 1.3 million shares of our common stock for approximately $25 million or an average price per share of $18.55. We currently have capacity in our share repurchase authorization and, subject to market conditions, intend to be active in the market during fiscal year 2025. From a debt perspective, during the quarter, we also repaid $25 million of credit facility debt and ended the first quarter of fiscal year 2025 with $75 million outstanding on our $800 million revolving credit facility, which expires in July 2026. To briefly recap other balance sheet items, accounts receivable, net, was $129.3 million, representing a decrease of $62.8 million since March 31, 2024. The DSO metric at the end of the first quarter of fiscal year 2025 was 63 days, versus 44 days for the same period in the prior year, and 81 days at the end of fiscal year 2024. The higher DSO metric in the first quarter of this fiscal year in comparison to the first quarter of the prior fiscal year was due to the timing and composition of bookings. Goodwill and intangible assets, net, is $1,372 million, which reflects a non-cash goodwill impairment charge of $427 million taken in the first quarter. Let’s move to Slide 16 for commentary on our outlook. I will focus my review on our non-GAAP targets for fiscal year 2025. As Anil noted earlier, we are reiterating our non-GAAP outlook for fiscal year 2025 that was presented during our fourth quarter and full fiscal year 2024 earnings call. As a reminder, for our fiscal year 2025, we anticipate revenue in the range of $800 million to $830 million. Additionally, we continue to anticipate non-GAAP diluted earnings per share within the range of $2.10 to $2.30, with the mid-point being consistent year-over-year. The full fiscal year effective tax rate is expected to be approximately 20%. Our weighted average diluted shares outstanding is assumed to be approximately 73 million shares, which incorporates our recent share repurchase activity but does not assume any further repurchase activity. Finally, given that we are early in the fiscal year, any impact from the unrealized gain on the previously mentioned foreign investment will be evaluated as the fiscal year progresses as its market value and impact to our earnings per share outlook could fluctuate. Our fiscal year 2025 non-GAAP guidance also reflects the anticipated benefits associated with the previously mentioned restructuring from the voluntary separation program and ongoing cost management initiatives. In conjunction with these actions, we recorded a GAAP restructuring charge in the first quarter of fiscal year 2025 attributable to one-time separation payments of $16.6 million and we anticipate another charge in the range of approximately $3 million to $5 million in the second quarter. We expect that these actions will generate annual run-rate savings of approximately $25 million to $27 million. Given the timing of these actions, we expect to realize approximately $18 million to $19 million of the savings over the remaining three quarters of fiscal year 2025. Finally, I would like to provide some color for the second quarter of fiscal year 2025. We continue to anticipate a revenue skew of approximately 45% in the first half of the fiscal year and 55% in the second half, assuming the midpoint of our revenue outlook range. Therefore, taking into consideration our first quarter results, we expect revenue for our second fiscal quarter to be in the range of $185 million to $195 million. We also expect corresponding non-GAAP earnings per share in the range of $0.42 to $0.51. As a reminder, the second quarter of fiscal year 2024 benefited from the reversal of incentive related expenses, which will create an approximately $0.15 year-over-year headwind for Q2 2025. That concludes my formal review of our financial results. Thank you, and I’ll now turn the call over to the operator for questions.
Operator: Thank you. [Operator Instructions] We’ll take our first question from Matt Hedberg of RBC Capital Markets.
Matt Hedberg: Great. Thanks for taking my questions, guys. Part of the script, you talked about positioning in security. And obviously, there was a tough compare this year. But I guess when you think about future investments, future growth opportunities, what excites you the most? What do you think could invigorate growth within your cybersecurity division?
Anil Singhal: So Matt, if you look at our core businesses, our service assurance and you heard about the pressures we have faced in the last few years and then rest of the business is DDoS business. So we think we can – we are already doing good in the DDoS area, and we are going to drive additional growth by going into non-DDoS security area, which is what we call Omnis Cyber Intelligence, which we announced about a year ago, and we’re starting to gain traction on that. On the service assurance side, we think that market is moving from NetOps to AIOps. And so we think that, we’ll be able to go to all our top customers and transition them into the AIOps area, which will not only stabilize but probably drive some growth in the longer term. And lastly, we have deployed more on the concentration point in the data center and we see that our instrumentation can be extended to remote site and cloud, which we called – generally called Edge Instrumentation or Edge Sensor. So that’s the plan of the strategy. So overall, in the last two years, despite the VSP and other cost reductions, we have made substantial investment on those two areas, AIOps in cybersecurity and Edge World. And that’s what I think customers are very excited about as was demonstrated in our recent event in London, and we want to make a big splash in addition to having some partners present our – support of our solution at our upcoming conference next in October.
Matt Hedberg: Great. Thanks, Anil. And then Jean, on the call, you noted ex the Q1 backlog, headwinds growth – revenue growth would have been roughly flattish. And kind of looking at the high end of your Q2 revenue guide and fiscal 2025 revenue guide, it implies kind of flattish revenue growth as well. I guess I’m kind of curious, how do you think about the building blocks to return to more sustainable growth? Like, if we sit here a year from now, what do you think – what are the biggest opportunities to drive growth from here?
Jean Bua: Sure. I would say, obviously, just reiterating what Anil said, DDoS is doing well. The Omnis platform is consistent on a year-over-year basis in the first quarter, but shows a lot of promise. And moving into service assurance, the movement to AIOps and extending instrumentation to the Edge, those are things that we developed many, many years ago. The company was prescient enough to know that the world will move to the Edge, which is why we have been progressing to the software model. So when you put those together and plus opportunities that people see in our partnerships, where we again have excellent data and we’ll work with some of the companies that Michael had mentioned in his script should be some of the building blocks going forward for our revenue growth.
Anil Singhal: Yes. In other words, Matt, just to – go ahead. Sorry. That’s fine.
Operator: And Mr. Hedberg, are those your questions?
Matt Hedberg: Yes. Thank you. Thanks for the time, guys.
Jean Bua: Thank you, Matt.
Operator: We’ll take our next question from Kevin Liu of K. Liu & Company. Your line is open.
Kevin Liu: Hi, good morning, guys. First question here, just on the agreements you were able to extend with your two large carrier customers. I’m just wondering if those were on kind of similar, more expanded terms from what you’ve seen historically? And then more generally, as you think about the opportunity afforded by 5G, does the AI actually allow you to just go back to your existing base and get some value out of that or would you need to see kind of additional services rolled out by 5G in order to benefit from that?
Anil Singhal: Yes. So Kevin, we are counting more on the second aspect, not on the 5G alone. I mean, we have upgraded our 4G instrumentation to 5G in many of the accounts and some of the large ELA deals we announced, 5G was a driver for that, but it will not necessarily drive growth. I think we are seeing a lot of interest in AIOps from our carriers. And I think that’s where they expect to spend more money. And if we can reuse the hardware they have already used and apply a new software module for AIOps, I think that would be the best combination. Having said that, we need to appeal to a slightly different audience in our customer base. So we will be counting on our relationship to get introductions, but then we’ll be talking to a different group of people. And I think it’s an adjacency, but it’s not trivial. And we are going through that process, and we are getting some success and a lot of interest from our customer on. Essentially, we have – we are a smart data company and until now, we have not allowed our data to be shared with third-parties. And that’s creating a unique interest, and that’s what our AIOps story is.
Kevin Liu: Understood. And then maybe just one on the cybersecurity side. You talked about kind of the growth opportunities there. Maybe if you could share some details around just the level of pipeline growth and what you think is kind of a good normalized growth rate for that type of the business, adjusting for the backlog and all those sorts of things as we move forward in the next few years?
Anil Singhal: Yes. Our goal is to have double-digit growth in cybersecurity this year because we had a very good year last year, and there was a lot of pipeline flush in at the end of the last year. We are not tracking to that. But long-term, we look at double-digit growth in cybersecurity. And so I was just adding to Matt’s question – last answer to Matt’s question, which Jean answered, our basically strategy is stabilize the core service assurance business, perhaps drive through the Edge Instrumentation and others, perhaps grow it slightly over through AIOps and then drive rest of the growth in cybersecurity.
Kevin Liu: All right. Thank you.
Anil Singhal: Thanks.
Operator: At this time, I’d be happy to return the call to Tony Piazza for concluding remarks.
Tony Piazza: Thank you, operator. That concludes our call today. Again, we apologize for the short delay and appreciate your patience. Enjoy the rest of the day.
Operator: This does conclude today’s conference. You may now disconnect your lines, and everyone, have a great day.